Operator: Good day, and thank you for standing by. Welcome to the Ultralife Corporation Fourth Quarter 2022 Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker, Jody Burfening. Please go ahead.
Jody Burfening: Thank you, Latanya, and good morning, everyone, and thank you for joining us this morning for Ultralife Corporation's earnings conference call for the fourth quarter of fiscal 2022. With us on today's call are Mike Manna, Ultralife's President and CEO; and Phil Fain, Ultralife's Chief Financial Officer. The press release - the earnings press release was issued earlier this morning if anyone has not yet received a copy, I invite you to visit the company's website www.ultralifecorp.com, where you'll find the release under Investor News in the Investor Relations section. Before turning the call over to management, I would like to remind everyone that some statements made during this conference call contain forward-looking statements based on current expectations. Actual results could differ materially from those projected as a result of various risks and uncertainties. The potential risks and uncertainties that could cause actual results to differ materially include the impact of COVID-19 and related supply chain disruptions, potential reductions in revenues from key customers, acceptance of new products on a global basis and uncertain global economic conditions. The company cautions investors not to place undue reliance on forward-looking statements, which reflect the company's analysis only as of today's date. The company undertakes no obligation to publicly update forward-looking statements to reflect subsequent events or circumstances. Further information on these factors and other factors that could cause Ultralife's financial results is included in Ultralife filings with the Securities and Exchange Commission, including the latest annual report on Form 10-K. In addition, on today's call, management will refer to certain non-GAAP financial measures that management considers to be useful metrics and differ from GAAP. These non-GAAP measures should be considered as supplemental to corresponding GAAP figures. With that, I would now like to turn the call over to Mike. Good morning, Mike.
Michael Manna: Good morning. Thanks for joining the call on Ultralife's Q4 2022 operating results. This being my first call as President and CEO, I will start with some of my background. I am a Rochester Institute of Technology Graduate. I've been part of Ultralife since 1993 back when Ultralife first started working on the rechargeable lithium ion polymer battery program. I have experience in everything from testing, cell design, battery pack design, new product development, operations, sales and most recently, President of the Battery & Energy business for over three years. Where I led the business to an average 8% net organic growth rate and including Excell, grew top line revenue from $84 million to $120 million, a 43% increase delivering operating profit of approximately $10 million, while navigating through a pandemic inflation and supply chain challenges. We won the largest contract award in history of the battery and energy business, the conformal wearable battery, with initial possible value of $165 million and additional option years that could add another $350 million. Ultralife has been my life's work. I am passionate about the business and the products and have a strategy for growth that diversifies the business across multiple markets and increases value for our employees, our customers, our suppliers and our stockholders. As for my current assessment, we have subject matter experts and professionals in both our battery and communications divisions to give us unique expertise that our customers value and require. We need to support these individuals and increase, spend strength to achieve our future growth plans. We have unique products that target demanding applications that deliver superior performance. These products by nature, are designed to meet rigorous standards and requirements, which can result in multi-stage product development that consume resources and interim designs that can incur higher manufacturing costs. We have multiple facilities, which provides us proximity to customers and localized support allows us room and flexibility for anticipated growth without large increases in costs and also does give us redundancy in case of site interruptions. There are back-office synergies, we're beginning to implement, which will increase the utilization of our personnel across the various sites. We have a brand that I feel is vastly underutilized, which I think can be leveraged in new ways to enhance wallet share and value and help with other intangibles like recruitment and retention. Our variable cost productivity projects were drastically reduced due to the pandemic and part shortages and as resources were needed to source parts due to customer commitments. Now we are in process of reinvigorating these activities with focus on cost down efforts and secondary sourcing of key components. I will now turn it over to Phil to talk to the Q4 numbers.
Philip Fain: Thank you, Mike, and good morning, everyone. Earlier this morning, we released our fourth quarter results for the quarter ended December 31, 2022. We also updated our investor presentation, which you can find in the Investor Relations section of our website and plan on filing our Form 10-K with the SEC in the next few weeks before the filing deadline. We're reporting our quarterly results later than our customer reporting practice due to illnesses experienced by some members of our accounting finance team, causing delays in the year-end closing in audit. I would like to thank the members of the accounting finance team for their dedication and hard work. Before starting my review, I want to point out to everyone that our fourth quarter includes a $0.8 million one-time charge for severance costs associated with the company's former President and CEO, who has announced on November 22, 2022, is no longer with the company. The majority of the cost will be paid in 2023. I will present our fourth quarter operating results with and without this one-time charge. Now I'll take you through our fourth quarter results. Consolidated revenues for the 2022 fourth quarter totaled $36.1 million, the highest quarterly sales reported in over 10 years compared to $23.8 million reported for the fourth quarter of 2021, an increase of 51.9%. Government defense sales increased 84% with strong growth in both business segments driven by order flow and the commencements of deliveries of some long lead time components. Commercial sales increased 38.1%, reflecting the contribution of Excell and solid organic growth in oil and gas end markets. Excluding Excell, total organic sales increased 23.1% from the prior year period. Our total backlog exiting the fourth quarter grew to $111 million, the highest level in our company's history, which represents an increase of $4.8 million or 4.6% over the comparable backlog exiting the prior quarter and an increase of $47.3 million or 74.2% over that exiting the fourth quarter of 2021. During the quarter, supply chain disruptions persisted, including increased lead times on components from suppliers impacting both our internal and customer manufacturing delivery schedules, resulting in continued delays in our shipments to future periods. Mike will address our go-forward actions in his comments, which follow. Revenues from our Battery & Energy Products segment were $32.1 million compared to $22.1 million last year, an increase of 45.4% with $7 million of the $10 million variance attributable to Excell and $3 million of net organic growth, comprised of increases of 67.5% in government defense sales and 26.9% in SWE's oil and gas market sales, partially offset by a 17.2% decrease in medical sales due solely to component shortages to fulfil increased demand from a large international medical device OEM. Net organic sales for this segment increased 13.9%. The backlog for our Battery & Energy Products business of $88.6 million, representing 74% of our 2022 total year sales is an increase of $0.4 million or 0.4% over the comparable amount exiting the third quarter. The sales split between commercial and government defense for our battery business was 71-29 compared to 75-25 for the 2021 fourth quarter, and the domestic to international split was 55-45 compared to 50-50 last year, accentuating both growth in U.S. government defense sales and the continued success of our global revenue diversification strategy. Revenues from our Communications Systems segment were $4 million compared to $1.7 million last year an increase of 138.1% reflecting the receipt of components to commence the fulfillment of a large international order and to continue the fulfillment of a large U.S. order with some spill over into 2023. The backlog for our Communications Systems business of $22.4 million, representing 190% of our 2022 total year segment sales is an increase of $4.5 million or 25.1% over the comparable amount exiting the third quarter. On a consolidated basis, commercial to government defense sales split was 63-37 versus 73-27 for the year earlier quarter, again reflecting the growth in government defense sales. Our consolidated gross profit was $8.1 million for the 2022 fourth quarter, up 52.8% over the 2021 period. As a percentage of total revenues, consolidated gross margin was 22.4% versus 22.3% for last year's fourth quarter. Gross profit for our Battery & Energy Products business was $6.9 million compared to $4.8 million last year. Gross margin was 21.6%, a sequential increase of 290 basis points over the 18.7% reported in the third quarter and a decrease of 20 basis points from 21.8% reported last year. The sequential improvement was primarily due to our closer matching of customer price increases with the continued cost inflation of certain raw materials and key components, including various electronic components, PC boards, chipsets and certain metals to name a few.  For our Communications Systems segment, gross profit was $1.1 million compared to $0.5 million for the year earlier period. Gross margin was 28.7% compared to 28.1% last year, reflecting higher factory throughput leading to higher cost absorption tempered by inefficiencies associated with delays in receipts of components. Operating expenses were $7.9 million compared to $6.5 million last year, an increase of $1.4 million or 20.7%. The increase was primarily attributable to the one-time severance charge of $0.8 million in incremental expenses, including intangible amortization of $0.7 million due to the timing of the Excell acquisition on December 13, 2021. As a percentage of revenues, operating expenses were 21.8% or 19.6% when excluding the one-time severance charge compared to 27.4% for last year's fourth quarter, a 780 basis point improvement reflecting sales leverage. Operating profit was $0.2 million, inclusive of the $0.8 million one-time severance charge compared to an operating loss of $1.2 million last year. Our tax benefit for the fourth quarter was $0.2 million, the same as that reported for the 2021 quarter computed on a GAAP basis. Including the one-time charge and the impact of interest expense to help finance the Excell acquisition and foreign currency losses associated with the strengthening of pound sterling to the U.S. dollar, net loss was $0.2 million or $0.01 per share. This compares to a net loss of $1.1 million or $0.07 per share for the 2021 quarter. Adjusted EBITDA, defined as EBITDA including non-cash stock-based compensation expense, was $2 million or 5.6% of sales for the 2022 quarter compared to a loss of $0.1 million for the prior year quarter. Turning to our balance sheet, to proactively influence our position to service our substantial backlog, we increased inventory by $0.4 million or 1.1% over the third quarter. This represents an increase of $8 million or 24.1% over year-end 2021. We ended the 2022 fourth quarter with working capital of $50.1 million compared to $47.6 million for last year. Debt to capital at quarter end remained low at approximately 0.18. Going forward, with our backlog diversified end markets, growth initiatives and ongoing actions to improve our gross margins, we remain tenaciously dedicated to realizing the full leverage potential of our business model. Before turning it back to Mike, there is one other matter that I will share with you. On January 25, 2023, during performance of their daily morning information technology security procedures, our information technology team discovered an unauthorized entry into our information technology systems for our Newark, New York and Virginia Beach locations. The accounts in question were immediately disabled by our IT team and the company's information security committee met promptly taking swift action, including the immediate notification of our cybersecurity insurance carrier. Shortly thereafter, with recommendations from our cybersecurity carrier, we engaged external incident response professionals to assist with our assessment, recovery and response. On February 7, the company received an electronic communication allegedly from a third-party known for nefarious ransomware attacks, claiming responsibility for the incident - and discussions with the third-party commenced through experienced cybersecurity professionals engaged by the company. This incident caused a partial disruption of our business operations at both locations, which resulted in production and shipping downtime of approximately two weeks. The company has now restored its information technology systems and production has been resumed in both locations. We do not believe that any other company locations were affected by this incident and these other locations have continued their normal operations. The full scope of the cost and related impacts of this incident on Q1, 2023 results, including the extent to which the company's cybersecurity insurance will offset the cost of the professionals we engaged and of the interruption to our business is currently under review. The company's deductible for its cybersecurity insurance is $100,000. Based on the recovery of our systems, review of the files affected as well as the company's prompt response to an assessment of the incident, no ransom or other amount has been or is expected to be paid to the third-party. We continue to monitor our information systems for any irregularity. I will now turn it back to Mike.
Michael Manna: Thank you, Phil, for the detailed breakdown of the Q4 results. For 2023, we are focused on executing our backlog and improving the gross margin of the businesses. We've been working through headwinds and supply chain disruptions and inflationary pressure over the last 12-plus months. We are starting to see some improvement over the last quarter, but expect continued cost pressure through 2023. With a strong backlog and known product mix going forward, we can work on leverage purchasing of components and lean activities. An important piece of our business is electronics, which with the recent supply chain delays and part shortages, we're using all the available parts to meet existing customer demand and did not have resources to develop second sources of supply or lower cost suppliers. Now if supply chain starts to keep pace with needed demand, we can again work on these important variable cost improvements as well as three other important pieces. First, continuing price realization activities that offset cost pressures we are seeing throughout the supply chain and internally with increasing labor and expense costs. Second, we are adding sourcing resources and extending the time horizon of our sales and operations planning process with both customers and suppliers, improving our end-to-end forecasting. This will reduce additional fees for expedited parts and logistics, reduced manufacturing inefficiencies, both internally to Ultralife and within our supply chain, which in turn helps working capital reduces over time and line changeovers and will improve inventory turns. Third, we're improving the process of launching our new products and transitioning them to higher volume production, aligning resources to focus on lean principles and process capability improvement activities. Next, I'd like to review an important piece of our organic growth strategy, which is product development, and the major focus projects currently underway. First, on the battery and energy side of the business, our new X5 medical cart system shipped over $1.2 million in Q4. Demand remains high, and we continue to develop additional variance based on customer feedback in need. Our thin-cell product line continues to grow in the medical wearables and tracking product spaces. We will invest CapEx in 2023 to support forecasted demand by our customers for these products. We expect this wearable telemetry device use increases, several of our technologies may be key enablers for the required run times. On the UB123A Cell product line serving the IoT market space, we are commencing the first production shipments of this product this quarter after a lengthy qualification process, a critical milestone. The XR123A, our carbon monofluoride blend version of this cell, which offers 20% to 30% more energy in the same size is going through UL and IEC testing this quarter. For the UB123A and the XR123A, we continue to work multiple opportunities for cell sales, but ultimately believe battery pack assembly business will be a critical piece of this product line, where custom solutions can offer added value and deeper customer relationships. We have multiple partners now evaluating our improved final chloride product line, targeting industrial monitoring and telemetry applications where this technology can power items across an extreme temperature range for up to 20 years. We have several commercial negotiations ongoing, and we'll have several new final products that will launch in 2023. The development of the conformal wearable battery, which is used to power advanced dismounted soldier equipment continues to make progress. We are currently expecting to start first article testing of the battery in the back half of 2023. This being an indefinite quantity, indefinite delivery contract with uncommitted volumes, we are balancing internal resources for this project with other known revenue generating and cost-reduction projects. Our product line of SeaSafe, subsurface batteries continue to gain initial customers in various applications, which we believe will be a growth market as offshore projects increase. We have some unique capability as our products can operate at an incredible pressure in depth while providing needed power to the equipment on the ocean floor. Secondly, on the communications side of the business, we are through the qualification testing with multiple partners for our EL8000-server case and power system. We anticipate initial production orders for this product this year, supporting our strategic server partners. This will help diversify this business in the commercial spaces and add further scale to the business. We continue to work on advanced amplification and power products with multiple partners to support air ground and see communications, primarily military in nature. We are investing in the next generation of gallium nitride amplifier and power architectures to continue our leading position in the portable amplification space. As noted earlier, we are reviewing how we can expand brand and product line recognition of the businesses, how we can position ourselves with targeted marketing efforts, which will drive customer capture for future revenue growth. Lastly, on growth, I am working on developing strategy and relationships and how best to take advantage of the electrification in 5G market spaces, looking for niche applications and investments that will bring us competitive advantage, leveraging our cell design expertise and power system capabilities. We will invest CapEx in prototyping equipment for rechargeable sales and future technologies this year to allow us to evaluate possible future investments. We have had multiple partners' approaches on this front due to our cell assembly expertise and the ability to extrude and work with metallic lithium. We have a unique aqueous thick electrode coating technology that could be advantageous in lower - large rechargeable cells. This could support a wide variety of potential applications in the energy storage or specialized mobility markets. In closing, I expect 2023 to be a traditional year back to profitable growth. Execution is the main priority for both businesses with Communication Systems increasing scale to achieve profitability, battery and energy converting on multiple growth initiatives while driving gross margin improvement. I'd like to take a moment to recap Phil's comments on the cyber event earlier. We experienced facility interruptions and recovery expenses at the Newark and Virginia Beach locations during the first quarter of 2023. None of our other locations I believe impacted and all locations are operational at this time. And as stated, there will be some undetermined time gap between the insurance reimbursement containing to this event, which is still being quantified at this time. Finally, I would like to welcome Janie Goddard to the Board of Directors. I believe Janie's background will be a welcome position. I look forward to working with her in this next phase of Ultralife's history. Thanks, everyone, for the attention. That concludes the prepared remarks, back to the operator for questions.
Operator: Certainly. [Operator Instructions] And our first question comes from Josh Sullivan of Benchmark Company. Your line is open.
Joshua Sullivan: Hi, good morning.
Michael Manna: Good morning, Josh.
Philip Fain: Good morning.
Joshua Sullivan: So Mike, now that you've been in the seat for a couple of months, what are some of the initial more tactical opportunities we might see you execute on externally? I know you mentioned a couple in the prepared remarks there. And then maybe what do you see just on the more long-term strategic level as well?
Michael Manna: Well, on the tactical side, there's just some internal heavy lifting we need to do to get gross margin back to where it needs to be. And we definitely hit it up in the prepared remarks. We need to focus on lean activities. We need to definitely work on our cost down initiatives and then just execution, execution is key. And we have - the backlog is in sight. It's not like we're guessing it, what's coming at us. We just need to execute it and get it out the door. On the strategy side, we're still developing a lot of things. There's, a lot of relationship things I'm working. We'll see how those play out.
Joshua Sullivan: Got it. And then I mean as far as the backlog, can you just help us understand the breakdown between the industries where the growth has been recently? And then I understand the supply chain issues, but how durable is the backlog. Any risk of customers bleeding out given the time?
Michael Manna: Actually, I'm pleasantly happy to be able to say that it's really been across the board. I mean, we've seen G&D increases, obviously. Medical, we've had a lot of backlog somewhat just due to some parts supply issues that we would have loved to have liquidated. But due to the supply chain lead times, we just couldn't. Our oil and gas areas remain strong. Our industrial markets remain strong. Our medical card products seem to have a lot of good backlog. So right now, there's no real - one area I can point to that's declining.
Joshua Sullivan: Got it, got it. And then as far as the supply chain in general, there's some commentary, the industry might see some opening up here in the second half. And as far as the raw material inventory, you guys have been holding above historical levels to mitigate some of that. One, how should we think of your overall working capital needs as the supply chain does improve or when it improves? And then two, what do you see as far as the timing of supply chain improvements?
Michael Manna: Well, I'll take the supply chain piece, and I'll let Phil handle the working capital piece. But I mean, on the supply chain piece, it's still very spotty. We have a lot of different components in our batteries on the electronics side. There's some microprocessors that seem like they're opening up and we're able to get them easier, but there are some other critical parts like MOSFETs and other things where you have a fire in a packaging plant, all of a sudden the lead times go another 12 weeks and they were just starting to get better. So it's still difficult to really navigate that and give you a good time horizon and when it's going to get totally better. But I expect it's probably Q3, Q4 this year before we really start seeing anything that looks even close to normal.
Philip Fain: Regarding, Josh the working capital, I remember at the end of 2021, I looked at the balance sheet and I said, Holy Cow, $33.2 million of inventory. And here we are with $41.2 million of inventory, up $8 million, which is the way I look at it is the equivalent of a small acquisition that we have invested in inventory. So in many cases, it's cash in advance. It's for the cells and for the key components that now with the backlog in hand and the firm POs, as Mike said, we have much better visibility. We just don't want to be shut out of at least the big components, but still what rocks the boat on a day-to-day basis that makes life tougher are the things you take for granted, the smaller items, the everyday items. So our focus is throughout the full breadth of what goes into the products. So first and foremost, we know $40 million plus of inventory is just - we don't want to sustain that. We want to bring the working capital down starting with inventory. The other piece of this is you look at receivables, you look at payables. We have global, very large OEM customers, great, fantastic. We have small local regional supply chain, and there's a mismatch where in the receivables side, terms are generally extended by the large global players, but the smaller supply chain folks, our supply chain needs cash to survive. So it's a constant balance that we're doing our very best on. But our goal is to shrink working capital, taking cash out as a percentage of sales, bringing that down into the low 30s and approaching the high 20s, we want rapid turnover. That's our goal with working capital. We look forward to that day.
Joshua Sullivan: Absolutely. And then just with regard to inflation, benefited from price this quarter. Can we expect you to continue to match price with inflation on labor and cost going forward? Is there any timing gaps we should think about ahead?
Michael Manna: Well, I'll take it, and I'll let Phil go from there. I mean absolutely. I mean last year, we had over six price list changes in the Battery & Energy business alone. We have to increase price to maintain our position to be able to service the customers we have and provide the value and engineering and quality support in the markets that we're serving. We have to be solving period. With that, there's always a time gap between when you increase the price and when you actually see it realized, especially on some of our longer-term backlog. You look at the comm systems side of the business, where they've made contracts in place for over a year, while our costs have risen substantially over the last 12 months, but there's really no mechanism to go back and recapture those costs. So it's an erosion of your margin. Obviously, the next contract, we're going to bid correctly with increased costs, not that we didn't bid the first one correctly. We're going to increase cost on the next contract we bid, but there's just a gap between those events and then when you actually ship the product.
Philip Fain: Regarding the labor and overhead and all that stuff, I'm just going to go back to the backlog a little bit just to set the stage. We ended Q3 with a backlog of $106 million that I shared on the Q3 call. We shipped $36 million in Q4. The thinking would be that the backlog would - a lot of that came from the backlog would - be reduced. Instead, the backlog went up. So you look at $106 million, less a big portion of the $106 million coming from the backlog, you add what really came in during Q4. And it's a situation that we always look forward to hoping for fingers crossed a $111 million of backlog with more things coming at us, more opportunities coming at us. We're not just sitting back where things are happening. To be able to execute, it's not just a matter of having the right inventory and the right quantities to having the people. And to get the people in today's market automatically causes some inflation because in many cases, you have to buy the people from various other alternatives that they're looking at. What works, to our advantage in some cases is our various locations like a great example being the medical cart that Mike spoke of, conceived here, designed in the U.K. being built in Houston. We need more things like that to take advantage of where the pockets of people availability are before we just raised the prices significantly to the cost of labor to bring in people because that has a trickle-down effect into the entire direct labor population. So, we have alternatives. We're looking at those alternatives, and we're trying to be as smart as we can about this, but we know that we need people.
Joshua Sullivan: Good, well thank you for all the time.
Michael Manna: Thank you, Josh.
Philip Fain: Thank you.
Operator: One moment for our next question, and our next question comes from John Deysher of Pinnacle. Your line is open.
John Deysher: Good morning, thanks for taking my question and welcome aboard to you Mike?
Michael Manna: Thank you
John Deysher: I had just a couple of quick questions. One on the cyber event it's good to hear there was no ransomware paid, and it sounds like you'll be circling the cost as we go forward. I'm just curious do you anticipate any further cyber event-related costs going into second quarter?
Michael Manna: Our goal is to - we're working very, very closely with our insurance carrier. And we're at a point right now where we know what the out-of-pocket costs are. We know the cost of - we have a good idea of what the costs are related to the direct costs, and those are bringing in those experts that do this for a living with their former background and law enforcement and all that that know the game inside and out. That's the easier part of it. The more complex part that we're working through now is the business interruption piece. The business interruption piece and since we've been able to get back operations within a couple of weeks with the great job done by our IT team and the outside resources, our goal is to isolate those costs into Q1. And then the focus is on the reimbursement. So you could see the hit in Q1, the reimbursement could certainly - will certainly occur at a later date. Now, I know when we announced our Q1 results, we're hoping to have an insurance settlement by then, but realistically thinking with the backlog that the cyber insurance carriers are going through, it's more realistic to think that the reimbursement would come at a later date. So the goal is get the cost in Q1 and then there would be the reimbursement that would occur at a later point in time with the goal of being hold.
John Deysher: Okay, got it.
Philip Fain: I guess the only thing I would add to that is there could be a small additional cost and just the environment hardening that would go on in Q2. I mean we're working with our external professionals that do this as a living every day, and we're going to do whatever we can to prevent this from ever occurring again. So, there may be some other costs around the environment itself, making sure that we're more bulletproof, so to speak.
John Deysher: Okay good that's helpful. And then one income statement related question. There's other expenses almost $600,000. Can you tell us what that is for the quarter?
Michael Manna: Yes, absolutely. So I'll break it down into a couple of different buckets. In Q4, interest expense, as you'll see once we file our 8-K is around $350,000, yes $350,000. And then foreign currency, which you'll see is favorable will be favorable for the year, but during the fourth quarter, as I mentioned in my remarks, the pound significantly strengthened versus the U.S. dollar. So, we do show a hit to the P&L in the fourth quarter for foreign currency.
John Deysher: Okay. That makes up the difference to get to the $600,000?
Michael Manna: Yes, that's exactly and the absolute numbers are $368 million and $230 million. $368 million for the interest expense, $230 million for the FX.
John Deysher: Okay good. What was interest expense for the year?
Michael Manna: Yes, interest expense for the year is $951,000.
John Deysher: And where does that show up on the income statement for the year?
Michael Manna: Well, where it's going to show up is going to be in other income and expense because the $950,000 of interest expense is going to be offset by around $400,000 of income in currency. So you'll see a net of just over $500,000.
John Deysher: Okay - that's what the other expense was for the year. Okay good.
Michael Manna: Yes, so just on your question, you can see that our goal in reducing the inventory is the quickest, cheapest way of getting cash and applying that against bringing the debt down. That's our goal absolutely.
John Deysher: That's our goal any idea of how - where you want that to be a year from now?
Michael Manna: Absolutely, when - we bought SWE a couple of years earlier, we paid it off in 32 months. Now I know the world is a slightly different place right now, but my goal is and always has been to extinguish acquisition debt in a three to four-year period. So my goal is to bring that down evenly under normal economic conditions, we'll see what the next few quarters have to hold. But our intention is to bring that down as swiftly as we can - as we possibly can.
John Deysher: Okay good that makes sense. That's all I have. Thanks and good luck.
Michael Manna: Okay, thank you John.
Operator: [Operator Instructions] And I am showing no further questions. I would now like to turn the conference back to Mike Manna, CEO, for closing remarks.
Michael Manna: All right, thanks for attending today's call. We look forward to seeing everybody in the Q1, 2023 earnings call. Have a great day. Bye, everyone.
Operator: And this concludes today's conference call. Thank you for participating. You may now disconnect.